Operator: Good morning and welcome to the AstroNova Fiscal Second Quarter 2025 Financial Results Conference Call. Today’s call is being recorded. I would now like to turn the conference call over to Scott Solomon, the company’s investor relations firm, Sharon Merrill Advisors. Please go ahead, sir.
Scott Solomon: Thank you, Candice, and good morning, everyone. If you've not received a copy of this morning's earnings release, please go to the Investors page of the AstroNova website, www.astronovainc.com. We are under the events and presentation section. You will also find a slide presentation accompanying management's prepared remarks. Turning to Slide 2, statements made on today's call that are not statements of historical fact are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on a number of risks -- a number of assumptions that could involve risks and uncertainties. Accordingly, actual results could differ materially except as required by law. Any forward-looking statements speak only as of today, September 16, 2024. AstroNova undertakes no obligation to update these forward-looking statements. For other information regarding the forward-looking statements and the factors that may cause differences, please see the risk factors in AstroNova’s annual report on Form 10-K and other filings that the company makes with the Securities and Exchange Commission. On today's call, management will refer to non-GAAP financial measures. AstroNova believes that the inclusion of these financial measures helps investors gain a meaningful understanding of the changes in the company's core operating results and helps investors who wish to make comparisons between AstroNova and other companies on both a GAAP and a non-GAAP basis. The non-GAAP financial measures are reconciled to the most directly comparable GAAP measures in today's earnings release. Turning to Slide 3, hosting this morning's call are Greg Woods, AstroNova’s President and Chief Executive Officer, and Tom DeByle, Vice President and Chief Financial Officer. Greg will discuss the company's second quarter operating highlights, and Tom will take you through the financials at a high level. Greg will make some concluding comments, and then management will be happy to take your questions. Now, please return to Slide 4 as I turn the call over to Greg.
Greg Woods: Thank you, Scott. Good morning, everyone, and thank you for joining the call. This morning, I'm speaking with you from France where later today I'll be meeting with our regional sales team as part of a broader visit to several locations across the EMEA region, focusing on our MTEX integration plans. We see significant growth opportunities here, particularly with the addition of MTEX, the newest member of the AstroNova family. Turning to our results, we delivered solid top line growth in the second quarter, driven primarily by our Test and Measurement segment. With the supply chain shortages that impacted Q1 now mostly resolved, the T&M segment bounced back in the second quarter, posting 37% revenue growth. T&M segment's operating profit margin of 28.7% was up 900 basis points from the same period last year and up 1,100 basis points from Q1 of this year. Within the aerospace product line, we're seeing robust demand for printers and supplies, as well as for our maintenance, repair, and overhaul services. This strong demand is fueled by the sustained post-COVID recovery of the global aviation market. In the quarter, we continued to gain traction in the converting of our aerospace customers to our ToughWriter branded printers. These printers offer upgraded technology, providing customers a more streamlined parts and service experience. For us, the benefit is reduced manufacturing costs, which in turn supports durable margins. In addition, AstroNova aerospace has recently been awarded several new military contracts, including a follow-on agreement for a large U.S. Air Force program. Negotiations are in process for other military platforms as well. In our Product Identification segment, the highlight of the quarter was our acquisition of MTEX in May. This business complements our PI portfolio with advanced printing technologies tailored to key market segments, including packaging, labeling, textiles, and industrial applications. Prior to the acquisition, MTEX was an entrepreneurial private company that lacked many of the processes necessary to be quickly integrated into the AstroNova company. Integration projects have been consuming more resources than anticipated and MTEX got off to a slow start in the quarter, generating revenue of less than $0.8 million within operating loss of $1.4 million. We expect it to take through the remainder of fiscal 2025 to transition MTEX's systems, processes, and business tools to those of the AstroNova operating system. It's important to point out that we remain very excited about MTEX's core strengths, including its engineering and manufacturing capabilities and especially its game-changing ink and printhead technologies. In the coming months, we will be devoting additional resources towards integrating that technology into more of our product identification products. On the positive side, the integration process has revealed many strong synergies, particularly in their vertically integrated engineering and manufacturing operations, which have proven to be highly efficient. This operational efficiency reduces reliance on outside suppliers and enables greater control over the production schedules and costs. We've attended several large trade shows since the acquisition, showcasing the breadth of the MTEX product line, and as a result, we have built a strong MTEX product backlog. We expect to begin shipping that backlog in the third and fourth quarters, which will enable the business to meet our targeted revenue contribution of $8 million to $10 million for fiscal 2025. I'd like to quickly touch on guidance. Based on results from the first half of fiscal 2025 and the current business environment, AstroNova today reaffirmed its full year fiscal 2025 expectations for mid-single-digit percent organic revenue growth. However, we are lowering our full year adjusted EBITDA margin guidance to a range of 9% to 10%, reflecting the slower startup of M-TEX acquisition. After the full integration, we expect our consolidated adjusted EBITDA margin to be in the initial target range of 13% to 14% in FY ‘26. Moving to our product identification segment on Slide 5, Q2 revenue increased by more than 5% year-over-year, driven by the MTEX acquisition, supplies, and a nice bounce back in the QuickLabel and TrojanLabel hardware. Excluding the MTEX acquisition, revenue was up 2.4% and non-GAAP operating profit was up 26.5%. Our next generation flat pack and mail-related printing solutions have been well received in the market and we anticipate further momentum in the second half of the year as we begin volume shipments of these new products. Turning to our T&M segment on Slide 6. As I mentioned, our aerospace product line is performing well, driven by the increasing global demand for air travel. In our T&M product line, order flow remains a bit lumpy as expected due to the unpredictable timing of military orders in that area. That said, we're seeing a steady demand for non-military data recorders, primarily for power and transportation applications. Stay tuned for some updates on exciting new generation of T&M product platforms that are in the works. Moving to Slide 7, supplies accounted for 55.1% of revenue in the second quarter versus 55.5% in Q2 of last year. Hardware accounted for 30.5% of revenue compared with 31.7% last year. And the service and other category made up 14.4% of revenue in the quarter compared with 12.8% last year. Geographically, sales to the United States accounted for 65.4% of total revenue in Q2 FY ‘25 compared with 63.1% in FY ‘24. Sales to Europe were at 25.2% compared with 28% last year. And rest of the world accounted for 9.4% compared with 8.9% in Q2 of FY ‘24. Turning to Slide 8. Last week we exhibited at two of the year's big trade shows, Labelexpo in Chicago and PRINTING United Expo in Las Vegas. At Labelexpo, we demonstrated the latest version of our T2-PRO for high speed labeling applications, as well as the MTEX Atom 3, our wide format A3 width high-speed label printer. At last week's PRINTING United Expo, we showcased several groundbreaking MTEX products, including the MULTI 800, a versatile direct-to-package printing system, capable of printing on a wide array of materials, and two of the state-of-the-art direct-to-film printers, including a UV ink model and the first-of-its-kind game-changing powderless model that got a lot of attention at the show. In addition to MTEX's impressive lineup, AstroNova also highlighted its latest innovations, including the QuickLabel QL-1200S for professional quality inkjet sheet labels and the TrojanLabel T3-OPX, which addresses the growing demand for short-run sustainable packaging solutions. Now, it's my pleasure to introduce our new Chief Financial Officer, Tom DeByle, who joined AstroNova as Vice President, Treasurer, and CFO in June. Tom brings more than 25 years of experience in financial leadership roles, including his time as CFO for several industrial manufacturing companies. His deep expertise in financial strategy and operations and his service on the boards of prominent organizations make him an invaluable addition to our leadership team. We're excited to have Tom on board and I'm confident that his insights and leadership will help guide AstroNova to continued financial success. Tom?
Tom DeByle: Thanks, Greg, and good morning, everyone. I'm excited to be part of the AstroNova team and look forward to contributing to the company's growth and success. In the coming months, I'm eager to work closely with the team to ensure we continue to execute our financial and operational strategies while delivering long-term value to our shareholders. This morning, I'll present results on a GAAP and on a non-GAAP basis. However, we'll talk mostly to the non-GAAP results as there were adjustments in both periods. We show a reconciliation of GAAP to non-GAAP measures in our press release, which is available in the investor relations section of our website at astronova.com. With that, I'll take you through the financial performance for the second quarter. Starting with Slide 9, revenue for the quarter was $40.5 million, up 14.1% from the prior year period. Excluding MTEX, revenue was up 12%. Both segments in AstroNova had sales increases year-over-year, led by the test and measurement segments, strong growth in both aerospace and test and measurement product line. Non-GAAP gross profit margins for the quarter were 35.6%, which is consistent with the Q2 of fiscal ‘24. Non-GAAP gross profit margins were positively impacted in Q2 fiscal ‘25 by volume and non-recurring items in the aerospace product line, offset by lower margins in MTEX. As you can see in the tables, both in the appendix of this presentation and in the earnings release, MTEX non-GAAP gross profit margin was 6.8%. Operating expenses on a non-GAAP basis for the quarter were $12.2 million, an increase of $10.4 million in the prior year. The increase was largely due to operating costs at MTEX of $1.3 million. AstroNova legacy business, excluding MTEX, had higher costs in recruiting, healthcare, professional fees during the quarter versus the prior year. Non-GAAP operating income came in at $2.2 million for the quarter versus $2.3 million a year ago, primarily due to loss in MTEX of $1.3 million on a non-GAAP basis. Sales volume at MTEX and cost to further align the MTEX products, services, and control environment with those of AstroNova impacted our overall non-GAAP results. Adjusted EBITDA for the second quarter of fiscal ‘25 was $3.9 million, up 5.3% from the prior year. Non-GAAP diluted earnings per share was down compared with 15% -- or $0.15 in the second quarter a year ago. Non-GAAP EPS was impacted by MTEX and higher interest expense. Bookings in Q2 were $35.8 million compared with $30.1 million in the second quarter a year ago. Bookings were primarily higher due to the strong performance in the Test and Measurement segment. Backlog at the end of the second quarter was $29.9 million, down from the first quarter of 2025. This was due to delayed shipments from Q1 2025 to shipments in Q2 2025. Moving to our balance sheet and debt position on Slide 10. Cash and cash equivalents as of August 3rd, 2024 were $4.8 million, up $800,000 from the first quarter of this year. Funded debt increased due to the MTEX acquisition as we amended our credit agreement and assumed local debt in Portugal of approximately EUR6 million or $6.6 million. Our liquidity is over $20 million and remains strong at the end of the second quarter. During the coming months, our focus on the balance sheet will be on reducing working capital, which we define as accounts receivable plus inventory, less accounts payable and paying down debt. Turning to Slide 11, we generated cash from operations of $7.1 million for the first six months of fiscal ‘25, compared with $4.7 million for the same period the previous year. Our year-to-date free cash flow for the first six months of fiscal ‘25 was $6.2 million compared with $4.2 million in the previous period. Free cash flow increased primarily due to the higher net income and increased accounts payable in the current year. Now, I'll turn the call back over to Greg for some closing comments. Greg?
Greg Woods: Thank you, Tom. Turning to Slide 12, as we look ahead, AstroNova remains committed to delivering value to our shareholders by staying focused on our core strategic initiatives. We reaffirm our expectations of mid-single-digit percent organic growth for the full fiscal year 2025. Additionally, we anticipate achieving an adjusted EBITDA margin of 9% to 10% for FY ‘25 as we work through the full integration process with MTEX. In FY ‘26, we are targeting adjusted EBITDA margin to be in the range of 13% to 14%. Looking beyond FY ‘26, we remain confident in our ability to drive continued margin improvement, targeting a 100 basis point increase in adjusted EBITDA margins over each of the following two fiscal years. These goals reflect our strong operational foundation, commitment to innovation, and ability to adapt to evolving market conditions. We are well positioned to unlock further growth opportunities and create long-term value for our shareholders and stakeholders. Turning to now Slide 13 for a wrap up. We're seeing strong demand across our key markets, especially in aerospace and Test and Measurement. The global recovery and growth in these sectors are providing us with solid opportunities. Our Product Identification segment continues to roll out innovative solutions that meet the evolving needs of our customers and the addition of MTEX further accelerates this process. Innovation is central to our growth and we're just getting started. Our Test and Measurement segment is experiencing tremendous momentum with significant revenue growth that demonstrates our ability to meet custom demands and tap into new markets. The integration of MTEX, while slower than originally anticipated, is already revealing synergies that have strong potential to drive efficiencies and expand our technology portfolio, particularly in new adjacent market areas. We have a solid balance sheet, giving us the ability to support ongoing operations, all while continuing to deliver value to our shareholders. Finally, none of this would be possible without our dedicated global team. Their commitment and talent are what drive our innovation and success. I want to thank all our employees for their hard work and commitment to continuous improvement. With these factors in play, we're confident about the road ahead and excited to continue building on this momentum. And with that, Tom and I will take your questions. Operator, please open the line for Q&A.
Operator: [Operator Instructions] Our first question comes from Robert Van Voorhis of Vanatoc Capital. Your line is now open. Please go ahead.
Robert Van Voorhis: Hi, good morning, Greg and Tom.
Greg Woods: Hey, good morning.
Robert Van Voorhis: Tom, I’m happy to meet you on the first call.
Tom DeByle: Nice to meet you, too.
Robert Van Voorhis: So I just wanted to ask a couple of quick questions. And I suspect the first one's more so for Greg. But, Greg on the M&A call for MTEX, I think you or David mentioned that MTEX had pretty handsome EBITDA margins. Obviously, from the release this morning it looks like they don't, both judging from the results as well as just to update some longer-term guidance. Can you explain the difference a little bit?
Greg Woods: Yeah, basically it had to do with additional costs that -- and Tom can go into more detail if you'd like, but the cost of going through these processes and getting their systems up to speed kind of diverted them away from their kind of daily work prior to the acquisition. So the machines and the supplies have very good margins with in line or in some cases especially the supplies better than our typical margins.
Robert Van Voorhis: Okay. And so are those costs, are they backed out as part of a non-GAAP adjustment? Is that like the integration costs or what is that?
Greg Woods: Some of those are integration costs and some of it is -- they aren't able to ship as much product as they would have because we had them working on other integration type things versus product manufacturing. So, I mentioned they have a decent -- actually a very good backlog building out when we head [in the show] (ph) lease and things they've got. So you'll see that's picked up in Q3 and Q4, but you can't absorb those costs on such a low revenue.
Robert Van Voorhis: Right. Okay. So, I guess longer term, what are the milestones that we should be looking for as outside shareholders regarding MTEX? Like, when do we expect them to get to profitability? How -- what are the levers that we can pull that we should be on the lookout for just because, I mean, longer term for FY ‘26, I think we took down EBITDA margin guidance even though T&M, the highest margin businesses, should do quite well. So I'm just trying to figure out what sort of they'll hold us accountable to for regarding MTEX.
Greg Woods: Yeah, so like I mentioned in my comments, we're working through this. Obviously, Q2 was not a great result, obviously, from a profitability point of view and/or revenue point of view. So, and I mentioned what they have in the backlog right now that we reaffirmed that they'll contribute in that $8 million to $10 million range as far as the time period in which we own them. So as that volume goes up, the products, as I had mentioned in the past, are good margin products and they have a healthy stream of orders already in-house. So just getting those shipped out this year. Yeah, not giving exact guidance on when it's going to flip over to profitability, but we're looking forward to be continuously improving as we go through the year here and be in very good shape for next year when we finish those. We might finish a little bit earlier, but right now we're saying it's going to take the better part of the second half of this year to get them through everything on the integration side.
Robert Van Voorhis: Right. Okay. And I guess just as my last question, so at recent conferences, and I know, Tom, you've been a part of them as well, but you guys have emphasized more M&A as a key strategy. Can you just, I guess, expand upon why that is the plan moving forward? I mean, why not just distribute cash in some form of buybacks, which are generally preferred, or just dividends as opposed to forcing yourself to look for something new? I know Astro Machine was great, but I mean, how many businesses are out there like that?
Greg Woods: Well, to answer the last question first, there are quite a few. But right now, our focus for this year is getting the MTEX acquisition performing as we know it can. And obviously, we've got organic uses as well in terms of capital deployment. And if we don't have an M&A opportunity when we've got those things running, that is an opportunity for us to look at alternatives there. But so far the M&A strategy combined with our organic product development and other investments have worked well for us. The type of markets that we're in lend themselves well to that type of innovation. We did three in aerospace and three in PI. For example, if another aerospace application or acquisition opportunity came into about, you'd be looking at quite a good return on that type of investment, or wouldn't do it, of course. But the nice thing about it, and I've talked about this on previous calls, is we have pretty much all the approvals we need from all the major OEMs and even the smaller OEMs as well as over tune at airlines. So we can drop one of those in very easily and create quite a bit of you of investment and opportunities for us.
Robert Van Voorhis: All right. I think that's it for me for now. Thanks.
Greg Woods: Okay.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brandon Daniel at Atai Capital. Your line is now open. Please go ahead.
Brandon Daniel: Hey, guys, I just kind of wanted to follow-up on Robbie's questions around margins. So if I just look at what you've guided to previously, call it, the base business legacy AstroNova, for 2026, you had essentially guided to around, call it, 15% EBITDA margins. And if we just assume that business grows at mid-single digits which you've talked about in the past, that sort of implies that MTEX’s margins in 2026 are flat to down or maybe flat to low single digits. Is that accurate is what you're guiding through there?
Greg Woods: No, I'm not following that one exactly there, Brandon. You're driving -- you're talking about gross margin and then you're also talking about adjusted EBITDA. So it's two different things.
Brandon Daniel: I'm talking -- no, I'm only strictly talking about adjusted EBITDA. So the math again is assuming the legacy business grows at your prior guidance. So you hit 15% EBITDA margins in ‘26 and just some mid-single-digit growth. If I run with that, that implies MTEX is at flat to low single-digit margins, assuming double-digit growth. And it really implies that they're actually still unprofitable in ‘26. So I'm trying to understand where that delta is coming from, basically.
Greg Woods: Yeah, so we originally -- we had said prior to the MTEX integration kind of taking longer and costing more than we expected that we would be doing 13% to 14% this year. And then that's what you're talking about is then adding 100 basis points to that in ‘26. Is that how you're getting to 15%?
Brandon Daniel: Yes, correct, yeah, for the legacy business, call it, yeah.
Greg Woods: Yeah, so we're just behind on that curve. So we're still looking at that same ramp, but we have to get them up to where we expect they would kind of start from. So it basically pushes it out into FY ‘26. And as we learn more and have that integration behind us and get the products out in the field from MTEX and see how they're doing on the supplies update, because there's a lot of new products that don't really have history yet on that, so we're kind of estimating where they would be. Assuming that's tracking higher, then we'll update our guidance there as well.
Brandon Daniel: Got it. So just on the topic of maybe uses of capital going forward, I'd mentioned there, but I know there has been some mention of M&A at the roadshows. I know Robbie had touched on that, but I guess a question, as an investor, Greg, I've been around for a while and then several of my peers have been around for longer. When I'm looking at your share price on the legacy business, call it, $17 at the time for when you required MTEX, I'm struggling to see how MTEX was $24 million or MTEX was a better use of capital than doing some sort of tender offer or buyback. So assuming your share price relishes here for a while longer, does that come into consideration? Does the share buybacks come into consideration there? Because yeah, just maybe some clarity on how we expect to get paid basically from the acquisition of MTEX and then what's your focus of capital, use of capital going forward.
Greg Woods: Yeah, so again on the MTEX thing, I mentioned the technology. You'll have to kind of wait and see what comes out with new products that we bring out next year. But some of -- their ink and printhead technology in particular has significantly higher margins than what we have on our products. And there's applications to integrate that type of technology into some of our existing or products that we have in the drawing board. So that's really what we're looking at internally. And for competitive reasons, we don't really talk about exactly how all that works. So that's why -- that's one of the key drivers of why you made the investment. And some of these things, you won't see it until we actually get those new products launched in the field and consuming the supplies. So we don't just look at it as a static business and here's what it does and it's going to keep doing that at some kind of small growth rate. We think there'll be a significant growth from that business. As far as acquisitions or use of capital beyond that, our focus right now is pay down debt. Get the integration of MTEX taken care of and pay down debt. And then obviously, for organic uses, like last year we bought a new press because we couldn't keep up with the label demand. So those type of applications and then certainly if we don't have better suses for it either for acquisitions or organic, we would consider those other opportunities as well.
Brandon Daniel: Got it, thank you.
Greg Woods: For either buyback or dividend or whatever. And that's something that gets reviewed by the Board every quarter.
Brandon Daniel: Got it, got it. All right, appreciate it, thanks. Thanks, guys.
Greg Woods: Sure, Brandon.
Operator: Thank you. As there are no additional questions waiting at this time, I'd like to hand the conference call back over to Mr. Woods for closing remarks.
Greg Woods: Okay. Well, thank you everyone for joining us here this morning and we look forward to keeping you updated on our progress and look forward to meeting with some of you. We know we've got some people who want to visit our facilities and we're always open to that. So we'll look forward to that. And have a good week everyone.
Operator: Ladies and gentlemen, thank you for joining today's call. Have a great rest of your day. You may now disconnect your line.